Operator: Hello, and thank you for standing by for Baidu's Third Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference, Linda Sun, Baidu's Senior Manager of Investor Relations.
Linda Sun - Baidu, Inc.: Hello everyone, and welcome to Baidu's third quarter 2016 earnings conference call. Baidu's earnings release was distributed earlier today, and you can find a copy on our website as well as on Newswire services. Today, you will hear from Robin Li, Baidu's Chief Executive Officer, and Jennifer Li, Baidu's Chief Financial Officer. After their prepared remarks, Robin and Jennifer will answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to those outlined in our public filings with the SEC, including our Annual Report on Form 20-F. Baidu does not undertake any obligation to update any forward-looking statements, except as required under applicable law. Our earnings press release and this call include discussions of certain unaudited non-GAAP financial measures. Our press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures, and is available on our IR website at, ir.baidu.com. As a reminder, this conference is being recorded. In addition, a webcast of this conference call will also be available on Baidu's IR website. I will now turn the call over to Baidu's CEO, Robin Li.
Robin Yanhong Li - Baidu, Inc.: Hello everyone, and thanks for joining today's call. In the third quarter, we continued to implement measures to improve customer quality and bolster a healthy environment to enhance user experience and drive long-term sustainable growth. Secondly, in the third quarter, we took proactive measures and required all customers on our platform to submit ICP licenses and verified enterprise bank account. We expect to complete this self-imposed verification measures across our platform in Q4. The new advertising law which imposed stricter regulations on online marketing, also became effective on September 1. The implementation of this regulation and our self-imposed proactive measures will have a short-term impact on our business. We expect the most pronounced impact on our business in the fourth quarter followed by recovery early next year. We remain highly confident in our long-term outlook underpinned by the vital and attractive fundamental value proposition of search and our ongoing investments in technology, in particular, artificial intelligence. As we improve the quality of our platform, we continue to focus on driving product innovation and building our long-term core capabilities. We are particularly excited about how our growing leadership in artificial intelligence is improving user experience and user stickiness across our product lines, while helping us reshape traditional industries, such as finance and local services and driving future growth areas, such as our digital, Personal Assistant initiative Duer and autonomous driving. During the quarter, news feed proved to be an excellent complement to our core search product and existing content ecosystem. And contributed strongly to user stickiness. Distributed content on news feed (04:35) platform grow 20 times since its launch in May, helping to drive a fivefold increase in news feed daily active users to about 70 million, and a threefold increase in time spend per user over the same period. Our ability to help customers precisely target the right news feed users based on their search queries and interest has opened the door to new categories of advertisers, such as real estate, and we are very encouraged by the results to-date. Mobile search represents a growing majority of our total search traffic. And during the quarter, we released a Mobile Baidu version 8.0, a major upgrade of our app with enhanced voice input, improved news feed display and personalized mobile homepage. Our initiative to increase the number of images in search results has shown a great progress, with nearly 90% of mobile searches producing results with images. In August, we launched our Mobile Instant Pages, open source initiative. When mobile website adopts this backhand technology, the speed at which they can be opened from both Baidu search and news feed increases by up to 80%. This not only enchases user experience, but also increases website page visits by up to 40%. We're confident that Baidu Mobile Search has never been more powerful. Turning to our service ecosystem, Nuomi continue to play an important role as part of our services ecosystem further integrating Baidu Search and Maps with local queries at the percentage of total search volume in mobile growing steadily from the beginning of the year. Nuomi supports search with richer, more localized results, enhancing mobile search, well-pattern (06:55) O2O gateway. Nuomi supported maps by contributing the large majority of closed loop points for interest and added advanced AI-driven features, such as customized restaurants and retail store recommendations, which helped drive stronger user engagement. Ensuring that we attract the best merchants to Nuomi is a top priority and offering a suite of services for them to make the most out of the platform is an important part of this. Efforts such as helping merchants view the pages for local express products and providing tools including CRM systems and templates to enhance their online stores have been paying off, and we've seen very good growth with 2.2 million merchants are on the platform as of the end of September; nearly a threefold increase year-over-year. Consumers continue to fall in love with the speed and convenience of Baidu Deliveries, formerly named Baidu Takeout Delivery with the service now expanding beyond the restaurant takeout delivery services. The platform registered more than 150% year-over-year GMV growth during the third quarter. This success is largely attributable to our AI-driven logistics technology. With an average delivery time of 32 minutes, and punctuality rate of over 98%, Baidu Deliveries continue to define new standards in the industry. We are proud that Baidu Deliveries continue to expand into new service categories, such as fresh food product delivery and on-demand logistics; a strong validation of the potential of our AI-powered logistics technology. Baidu Wallet also gained strength during the quarter, as activated by the Wallet Account, growing to 90 million at the end of third quarter, up from 80 million at the end of second quarter. Baidu Maps further solidified its number one market leadership with nearly 350 million MAU. Baidu Maps serves as a powerful O2O gateway, leading the industry with over 22 million local services point of interest, and 1.9 million of which provide closed loop service to users within the app. Baidu Maps also provided indoor maps for over 3,000 large shopping malls, which is unparalleled in the industry. We've expanded our footprint aboard to over 100 countries, and regions to serve Chinese travelers overseas. And Baidu Maps worked with over one million developers during the quarter, about 75% of the market, and provided open map services to 600,000 third-party apps and websites, more than any industry peer in China. As you know, Baidu has been investing in AI for years, and we are proud to be recognized as one of the leading AI innovators globally. Our AI infrastructure is already helping to make all of our products more efficient and useful. For example, AI enables better filtering of bad search results and keywords. Helps generate more intelligent and targeted search results and news feeds. Automatically detects non-compliant images on Nuomi, enhances the accuracy of Baidu Deliveries' delivery time estimates, and predicts traffic conditions in maps, among other things. AI also enhanced app displays and broadened the range of app formats, driving further value to our customers. And our amazingly accurate speech and image recognition have become the envy of the industry, helping to drive further revenue growth in voice and visual search queries. Our AI powered Baidu Translate product is the first online translation service to combine deep learning with a statistical model. With leading voice and image input and recognition, Baidu Translate services 28 languages and processes over 100 million requests a day on average. Many of which come directly from search and supports over 20,000 third-party applications. Beyond our core products we are already applying AI and big data to many areas of people's daily lives. For example, Baidu AI medical-assistant Melody helps doctors to diagnose illnesses from online conversations with patients. Our intelligent voice recognition-based CRM system understands caller's questions and guides sales people with real-time answers and data. We use augmented reality to display live advertisements and our digital assistant Duer, provided live TV commentary for an Olympic basketball game. We also recently began to test a facial recognition-based entry control systems here on Baidu Campus. And beginning of last month, we open sourced our AI platform PaddlePaddle to developer community providing access to Baidu technology in the areas of voice and image recognition, natural language processing and machine learning. Now, looking to some of our newer areas. While Financial Services is still an early stage effort, we're making strong progress in creating an innovative platform to transform the traditional finance industry that gives users unparalleled convenience and accrue more speed. While minimizing risk through our AI-based risk control technologies, including facial and fingerprint recognition, OCR recognition of identification documents and liveliness detection. We continue to grow our leading position in the growing market for education loans in Q3. To-date, we have worked with approximately 1,300 educational institutions, many of whom are our long-term search customers and have more than 50% market share. We are also making progress expanding into new areas partnering with over 300 companies or merchants in new categories, such as travel, where we partner with Qunar, cosmetic surgery, home decoration, and home rentals. Autonomous driving is an important area for future growth where AI technology has helped us take an early lead. Enabled by Baidu Brain's powerful image recognition and processing technologies are autonomous driving car recently broke a number of records in the TI/TTI benchmark test, achieving an accuracy rate of 90.13% in the vehicular third recognition test. Last year, we began low test of autonomous driving under real-world conditions in China. And in August, we received our permit to begin testing Baidu's autonomous cars on the public road in California. We have an ambitious development schedule, but with our top team here in Beijing and in the U.S., leading technology and unrivalled data resources, I'm confident that we will lead the way in making autonomous driving a reality. Our ITE platform performed very well in the third quarter, a strong growth in revenue and paid subscriber numbers. In August, according to (15:53) Research, ITE's Mobile App, lead these 140 million daily active users, 520 million monthly active users, and 590 million hours monthly user time, representing a significant lead over the closest industry peer. We look forward to further supporting ITE's growth. In conclusion, while we are still experiencing some short-term challenges as customers adapt to the new regulations and our stricter standards, our core value proposition for users and customers remains solid. Just as importantly, we have a clear strategy for future growth as we enter the new era of AI. We are ahead of the game in many ways and thrilled to see the benefit of Baidu AI already becoming a reality in the lives of our users and customers. With that, I'll now turn the call over to Jennifer for an update on financials.
Jennifer Xinzhe Li - Baidu, Inc.: Thank you, Robin. Hello, everyone. We continue to be in a challenging transition period, as we implement higher standards and comply with new regulations. As we mentioned, we took proactive measures and require all customers on our platform to submit ICP licenses and verify enterprise bank accounts. The process is on track, with the completion of the verification work in healthcare and finance verticals in Q3, and we expect to complete the verification across all verticals in Q4. As Robin mentioned, we expect the most pronounced impact to our business to be in the fourth quarter, with recovery beginning next year. We believe these higher standards and regulations will result in a higher quality customer base and healthier industry environment over the longer term. Looking ahead, we'll focus on further enhancing our value proposition to our users and customers. We will continue to execute our plan to build out our ecosystem, and to spend where necessary with disciplined approach, while closely monitoring return on investment. At the same time, investing in technology and R&D will continue to be a priority. Now moving to the financials. All monitory amounts are in RMB unless stated otherwise. For the third quarter, total revenues were RMB 18.3 billion, representing a 0.7% decrease from the corresponding period in 2015. The year-over-year increase is 6.7%, excluding Qunar, in the third quarter of 2015. During the third quarter, Baidu had approximately 524,000 active online marketing customers, representing a 15.9% decrease from the corresponding period in 2015, and a 0.9% year-over-year decrease, excluding Qunar. Revenue per online marketing customer for the third quarter was RMB 31,300, a 10.6% increase from the corresponding period in 2015. No year-over-year change, excluding Qunar, and a 10.2% increase compared to the second quarter of 2016. Traffic acquisition cost as a component of cost of revenue in Q3 was RMB 2.6 billion, representing 14.2% of total revenues. Bandwidth costs, as a component of cost of revenue were RMB 1.2 billion, representing 6.8% of total revenues compared to 5.3% in the corresponding period in 2015. Depreciation cost, as a component of cost of revenues were RMB 802 million, representing 4.4% of total revenue compared to 3.6% in corresponding period in 2015. Operational cost, as a component of cost of revenue were RMB 1.2 billion, representing 6.3% of total revenue, compared to 6.8% in the corresponding period in 2015. Content cost, as a component of cost of revenues were RMB 2.2 billion, representing 12.1% of the total revenue. This increase was mainly due to iQiyi's increased content cost. SG&A expenses in Q3 were RMB 3.6 billion, representing a decrease of 37% from the corresponding period in 2015, and a year-over-year decrease of 23%, excluding Qunar, in the third quarter of 2015. The year-over-year decrease was primarily due to decrease in promotional spending for transaction services. R&D expenses in Q3 were RMB 2.6 billion, a 2.8% decrease from the corresponding period in 2015, and year-over-year increase of 14%, excluding Qunar, in the third quarter of 2015. Share-based compensation expenses, which were allocated to related operating costs and expense line items, were RMB 414 million (sic) [RMB 418 million] in Q3, compared to RMB 4000 million in the corresponding period in 2015. Excluding Qunar, the SBC cost was RMB 278 million in the third quarter. This year-over-year increase, with Qunar impact excluded, was a result of increased share grants to employees. Operating profit was RMB 2.8 billion, representing 11% increase from corresponding period in 2015, and a year-over-year decrease of 12.5% after excluding Qunar's impact. Non-GAAP operating profit was RMB 3.2 billion, a 10% increase from the corresponding period in 2015, and year-over-year decrease of 7.5%, excluding Qunar. Income tax expenses was RMB 1 billion for the third quarter. The effective tax rate was 25.3% compared to 19.4% in Q3 of 2015. The increase of effective rate of the third quarter this year reflects that some loss-generating entities in the group cannot be consolidated for tax purposes under PRC tax law. Net income attributable to Baidu for Q3 was RMB 3.1 billion, a 9% increase from corresponding period in 2015. Basic and diluted earnings per ADS for the third quarter amounted to RMB 8.53 and RMB 8.51 respectively. Non-GAAP net income attributable to by Baidu for Q3 was RMB 3.4 billion, a 6% increase year-over-year. Non-GAAP diluted earnings per ADS for Q3 was RMB 9.92. As of Q3, the company had cash, cash equivalents and short-term investments of RMB 78 billion. Net operating cash inflow and capital expenditure for the third quarter were RMB 3 billion and RMB 1.2 billion respectively. Total head count on a consolidated basis including invested entities was about 44,800 at the end of Q3. This represents an increase of 2.5 % as compared to the end of last quarter. Now, let me provide you with our top line guidance for the fourth quarter of 2016. We currently expect total revenue for the fourth quarter to be between RMB 17.8 billion to RMB 18.4 billion, representing a 4.6% to 1.7% year-over-year decrease. Please note, this forecast reflects Baidu's current and preliminary view and is subject to change. I will now open the call to questions. Operator, please go ahead with questions.
Operator: Thank you. The question-and-answer session of this conference call will start in a moment. In order to be fair to all callers who wish to ask questions, we will take one question at a time from each caller. If you have more than one question, please rejoin the question queue again after your first question has been addressed. Our first question today comes from the line of Eddie Leung from Merrill Lynch. Please go ahead.
Eddie Leung - Bank of America Merrill Lynch: Good morning. Thank you for taking my questions. I have two questions. The first one is on your mobile traffic overload. We have seen a slowdown in the mobile traffic growth. So just wondering how much of that is due to perhaps a trough in traffic acquisition costs, and how much of that is perhaps due to competitions, or industry slowdown? Any comment on the upcoming quarter's mobile traffic will be great. And then secondly, just a question on your online finance business. So, we understand that there has been some education loan business. So, could you comment on the credit risk, and how we are going to account for that on the balance sheet? Thanks.
Robin Yanhong Li - Baidu, Inc.: Okay. I'll address the first question, and Jennifer can take on the online finance one. For our mobile search traffic, as you know the Internet penetration rate in China is already around 50%. So, going forward, we cannot count on a rapid growth of new Internet users coming online and learn to do search. So, from that point of view, the growth driver for search traffic is less than before. But overall, I think, search is still very fundamental and critical to every Internet user, and users are still getting used to mobile search. So, we are saying that on average people are searching more through their mobile phones. So, this kind of frequency-related driver will continue. Of course, we are still innovating in mobile search, so we have seen very rapid growth in terms of voice enabled queries. And we will continue to promote this kind of new input method, including voice and images, and we think there's plenty of room for growth in our mobile traffic.
Jennifer Xinzhe Li - Baidu, Inc.: And Eddie, for the financial services business that we are getting into, we think we have a natural advantage in the educational sector. Many of the current advertisers are our search customers, and we've been doing business with them for a long time. And so, our approach to educational loan is working with these institutions, and also assess the individual credit risk, giving our technology, infrastructure as well as the data capabilities. So, our approach to this financial services is quite, I would say, measured and prudent. We have originated some education-related loans, and they are build up under the balance sheet, under other assets. We also, based on estimates, started to accrue loss provisions for these related loans, and they are also embedded in the other assets. Today, it's only the early stage. We don't really have the testing results to see the actual losses, but we are measuring them and monitoring them very closely. We believe that based on Baidu's capability in AI, using the data and the technology, and also our knowledge about that vertical, this is the entry point that we are experimenting with our financial services business.
Operator: The next question comes from the line of Alicia Yap from Citigroup. Please go ahead.
Alicia Yap - Citigroup Global Markets Asia Ltd.: Hi, thank you. And good morning, Robin, Jennifer, and Linda. Thanks for taking my questions. My question is regarding the current plan and longer term view on your O2O strategy. So, with sales and marketing spend come down quite a bit, and the transaction GMV also decelerated to 49% this quarter from triple-digit growth last few quarters, can you share with us your current thinking about the O2O business? And for longer term, let's say, we have the opportunity to do some business combinations on O2O business, how should we think about Baidu core search growth and overall mobile positioning, if we don't have operation control of the transaction service in the long-term? Thank you.
Robin Yanhong Li - Baidu, Inc.: Yeah Alicia, I think the O2O initiative is pretty much based on our vision of connecting people with information, and connecting people with services, especially for connecting people with services. Our main focus is to make sure that Mobile Baidu users can start the search on our search app and finish with a transaction wherever relevant. So, we've been working very hard to make that kind of experience better and better, and our O2O initiative is surrounded on that. As I mentioned during the prepared remark, we now have 22 million merchants on our Nuomi platform, that's like tripled over a year ago. From that point of view, we are very determined to make Nuomi a success. But in the meantime, we realized that that the biz model for O2O may not be purely a commission-based or a transaction-based model. So, we started to shift a little bit of the transaction-based nature to advertisement-based nature, and then we also lowered the subsidies we provide for all kind of transactions on the Nuomi platform. So, as you correctly pointed out, the growth for GMA slowed down a little bit, but the loss also contracted too. That reflects our mission of making sure that the users have the best experience regardless of transaction or no transaction regardless whether we control the O2O 100% or we rely on some kind of third-party. The transaction we did in the last October, the Ctrip is a perfect example. Now, our users can book a hotel from Baidu Maps, or Baidu Nuomi, or Mobile Baidu, and the experience is very smooth, but we don't own the Ctrip business. So, this is certainly a possibility going forward for other verticals. But again, our focus is to make sure that the user experience for transaction on the Baidu platform is smooth.
Operator: The next question comes from the line of Alex Yao from JPMorgan. Please, go ahead.
Alex Yao - JPMorgan Securities (Asia Pacific) Ltd.: Hi, good morning, Robin and Jennifer. And thank you very much for taking the call. Jennifer, I have a financial question about – on the fourth quarter guidance. Can you talk about the implied core search revenue growth within the guidance? And you guys mentioned that the core search will see recovery in early next year. Are you guys talking about on year-over-year basis, or Q-o-Q basis? And how should we think about the magnitude of the recovery and the timing of the recovery in first half next year? Thank you.
Jennifer Xinzhe Li - Baidu, Inc.: Yeah. Thank you, Alex. Obviously, as I mentioned we're going through the transition period, much of the work is related to us validating our customer base with the required documentations. In Q4, across all board, we're targeting to finish all the verification process with all the customers. And so, what gets impacted is some of the customers may be removed from doing business with us, because they cannot provide the proper documentations, or there is also a change of display or different ways of doing advertising, or keywords that being monitored with restriction, so customer cannot be spending as they used to be with us. So very much closely a tighter control over the whole platform. So as you see, in Q4, we will feel a more pronounced impact of the transition work that we're carrying out. But we do target that by year end all the verification work should be completed and that will be the customer base that we're working towards going forward getting into next year. And we will also recruit new customers. The effort will be focusing on building new customer base that with the same kind of standard. So as we look out into next year, we do anticipate that much of the, I would say, much of the quality insurance work has been done this year and next year we should start to resume our normal work just to build the customer service and also provide good service to the users. Basically, if you'll – this is not – this is a very special period, so it's not the time to talk about year-on-year growth yet, but you can see that Q3 for online marketing business is flattish. And going into Q4, we will continue to feel this transition impact, but that kind of sequential changes should finish by the end of this year, and going into next quarter, we are focusing on building the business again. And so, this is the transition going forward, and basically Q4 is what we anticipate to be kind of the bottom.
Operator: The next question comes from the line of Chi Tsang from HSBC. Please go ahead.
Chi Tsang - The Hongkong & Shanghai Banking Corp. Ltd. (Broker): Great. Thanks very much for taking my questions. I wanted to ask you about two topics. Firstly, about the news feed. So, the news feed now has about a 70 million DAU, so that's ramping very rapidly. I was wondering if you can give us a little bit more commentary regarding time spent, and also, whether or not the news feed is helping to drive more paid clicks, and what your monetization plans might be? And then, second topic, I was just kind of wondering if you can give us an update on the progress you're making as it relates to autonomous driving, you have a plan for small scale production by 2018? Thanks so much.
Robin Yanhong Li - Baidu, Inc.: Yeah. On the news feed, we pretty much show the feed on the Mobile Baidu app. So, we leverage on our existing user base, and we only count users as an active news feed user, when they click or they scroll that related content. So, I think that the 70 million daily active user is already very significant. In the meantime, I mentioned that the time spent has tripled. So, it's growing very fast. And we will let you know that the average time spent per user in absolute numbers when we feel appropriate. And the monetization capability for news feed is also very promising because we have a very large customer base for our page search. Right now, it's about mechanism, so a lot of the advertisers are trying our news feed app, and they are very happy about the effectiveness. So, we think when we decide to become more aggressive in monetizing the news feed, the revenue potential is huge. What was the second question?
Chi Tsang - The Hongkong & Shanghai Banking Corp. Ltd. (Broker): Autonomous driving, in particular, you have a plan for small scale mass production by 2018. How are you sort of progressing towards that objective?
Robin Yanhong Li - Baidu, Inc.: I think we are still on track for a small scale production by the end of 2018. Right now, we have more than 40 testing cars in China and U.S. and we are making significant progress almost every day, and we believe we have one of the strongest team in autonomous driving technology, and we also are talking to a number of potential partners to supply us with cars and related technology. So, we are very happy, and we are on track to make that happen.
Operator: The next question comes from the line of Evan Zhou from Credit Suisse. Please go ahead.
Evan Zhou - Credit Suisse (Hong Kong) Ltd.: Hi, good morning, Rob and Jennifer, Linda, thanks for taking my questions. I have two follow-up questions from cost items. So wondering, our R&D expense on this quarter seems to have a pretty decent increase. So, I wonder if you could break it down a little bit, what kind of the incremental spending are on our longer term AI-related initiatives, and shall we expect them to kind of have a kind of permanent step-up of these spending down the road for this line? And also what the roughly RMB 1.2 billion of the other income lines, what caused that line to increase in this quarter? And finally, maybe whether you can share with us some source regarding the use of cash, as we are basically decreasing our cash burn, I'll say O2O, and decent cash flow for of course, this business (40:33). So, any plans to maybe return more value to shareholders? That will be helpful. Thank you.
Jennifer Xinzhe Li - Baidu, Inc.: Okay. Thank you, Evan. For the R&D expenses, throughout our history we've been steadily investing in the R&D capabilities, and the R&D expenses line item is particularly related to the talent, the manpower capability. And what you are seeing is, I would say a consistent approach to R&D investment, and going forward that will continue, I would say, to be a priority for us and our focus on accruing, and attracting, and maintaining the top talent will continue to be our focus. So the pattern, there is no surprise, and there is no swift to change and we'll continuously to invest in R&D. The other income line for this quarter is related to spin-off assets that the transaction itself generated gains, and so we do have, if we – the some of the business, like Baidu Video that was spin-off, and because of that transaction we do have other income line that reflects the gains of the transaction. For cash obviously, as we continue to look into the future, we're very excited about the AIH and the opportunity it can bring. A many applications can be borne out of these technology competency, and our cash is a strategic asset for us to invest in the future. So currently, we don't have other plans to deploy cash other than for a strategic purpose and for our organic growth.
Operator: The next question comes from the line of Natalie Wu from CICC. Please go ahead.
Natalie Wu - CICC: Hi, good morning, management. Thanks for taking my question. So, regarding your feed data product, can management show us more color on this product, say the current revenue run rate and load target for 2017, or longer future? Also, is it confined within the existing advertising system, is the rebate rate for agencies in alliance with your search products, and et cetera? Thank you.
Robin Yanhong Li - Baidu, Inc.: Are you talking about news feed?
Natalie Wu - CICC: Yeah. News feed in the Mobile Baidu app?
Robin Yanhong Li - Baidu, Inc.: Yeah. Okay. Right now, we just began the monetization process. So, the ad load is relatively low. I think it's much lower than industry peers. And I mentioned it previously that the current mechanism is an opt out mechanism for Baidu advertisers. So, they share the same mechanism of rebate, or a channel policy, things like that. So right now, we just got started. And I think that the growth rate is very high, but the ad load rate is very low right now.
Operator: The next question comes from the line of Piyush Mubayi from Goldman Sachs. Apologies, please go ahead.
Piyush Mubayi - Goldman Sachs (Asia) LLC: Thank you. Thank you for taking my questions – question sorry. Could you talk ITE's performance across advertising and subscription businesses during the quarter, as well as their content spending plans for two years? And if possible, the path to profitability for that business? And second, would it be possible at all to talk about the split between medical and non-medical through the last quarter? And when you talk about potential recovery into 2017, how much if the – let's say, how much of the merchants overall can we expect to be coming back, or put it another way, of the 70,000 decline that we saw in the last quarter, could you give us a sense of what the split was? Thank you.
Jennifer Xinzhe Li - Baidu, Inc.: Thank you, Piyush. For the ITE business, both the advertising business and subscription business are growing nicely. And I think you can perhaps read a little bit of that in the breakout of the revenue line. If content strategy continues to keep priority for ITE, as they carries out solid growth in advertising and subscription. So, as I mentioned at the beginning of the year, the content plan last year was kind of at a rate of doubling, and this year, you should expect a similar rate and that plan is not changed. And going forward, I think the investment in content will to be the key. And over the years, ITE has build a core competency in both content identification and also self production, on content capability. So I think, we're very encouraged by ITE's progress, and because also the subscription user business growth, I think it's financial performance is improving significantly. So very encouraged by the ITE development. For the customer base, yes, as we're going through last quarter, for example, of all the customer validation process, medical and financial services or the customer sectors that were, I think, mostly affected. Obviously, the affect is across the board to all the customer base. As I mentioned earlier, the medical and financial services sector has pretty much completed its customer validation work, and the Q4 is actual work related to across the board or other sectors. So we expect the medical sector is steady and slowly recovering, and the other sectors maybe much affected in Q4. But going into next year, we should start to build the customer base again. Because of this really strict control and regulatory review from our perspective, some of the customers will not be able to do business with us, and so there will be a portion of a customer base that used to be doing business with us, will be removed. And of course, we think the potential advertising customers, the pool is big, and we will provide unique advertising platform services and product, and combined with the news feed kind of new inventory that we have. We have more product portfolios that we can service the customers. So as we go – the short answer is, some customers will be cut out, and there will be plenty of new customers, and we'll continue to build the customer base going forward.
Robin Yanhong Li - Baidu, Inc.: I would just to add. There is also a macro trend with the new norm, we see a lot of consolidation across many different industries from medical, to education, to finance, you name it. But this may not be a bad thing for us, and I think when the industry is more consolidated, they care more about their brand and have more systematic way of evaluating the effectiveness of their advertisement. So, we expect to actually benefit from this, but the number of customers driver may be affected, because of this macro trend.
Operator: The next question comes from the line of Juan Lin from 86Research. Please go ahead.
Juan Lin - 86Research Ltd.: Hi. Good morning, Robin, Jennifer and Linda. Thank you very much for taking my questions. As a follow-up question on the news feed ad, you mentioned that you will leverage the existing advertiser base, I am wondering whether the news feed product will start generating incremental revenue right away and advertisers will increase their budget on Baidu because of news feed ads, or whether the growth of news feed ads at early stage is mainly due to advertisers shifting their search budget to news feed ads. And also, when do you expect these new product to become a meaningful revenue contributor? Thank you.
Robin Yanhong Li - Baidu, Inc.: Yeah. I think I've talked about the nature of search business quite a few times. I think it's always traffic bound instead of budget bound, meaning that many of our customers or advertisers, we have the budget, they just cannot buy enough amount of traffic on our platform. And news feed provide a perfect incremental traffic for our advertisers. And so far, based on our existing testing, I think advertisers are pretty happy about the performance of news feed ads. So, I think the revenue opportunity here is very much incremental. And we do expect a meaningful contribution for next year.
Operator: The next question comes from the line of Wendy Huang from Macquarie Capital. Please go ahead.
Wendy Huang - Macquarie Capital Ltd.: Thank you. My first question is about traffic acquisition costs, so that declined in both dollar term as well as the percentage ratio. So, how should we expect the check ratio to change going forward? And also, can you give us update on the gap between the mobile and PC in terms of the CPM, where it is standing now? Lastly, on the SG&A cost, assuming there is no change with the O2O competitive landscape, how should we expect the SG&A cost in dollar amount in 2017, even as currently we are seeing the sequential decline, should we expect these kind of sequential declines to continue into 2017? Thank you.
Jennifer Xinzhe Li - Baidu, Inc.: Hi, Wendy. Yeah, for the TAC cost, Q2 obviously was a very special quarter. I mentioned last time, our momentum – very much the medical-related revenue were affected, and a much of that was organic. And so, you could see that in Q2 it was a very pronounced increase of the TAC rate. In Q3, other than that, we were implementing the measures across the board, and some of the other verticals are also, of course, affected by this. And the TAC ratio was not only because of the medical or organic revenue. And therefore, it kind of fluctuate a bit. Directionally, over time, you should expect the TAC rate to continue to increase as a percent of revenue, simply because we're growing, on one, the mobile contextual related revenue, and much of that is yet to be fully developed. And that generally pays a higher TAC rate. And, if they bring a bigger contribution to the overall revenue, we should expect TAC rate to go up. I think Wendy, for the mobile CPM, obviously it continues to improve, but I think at this moment of time the comparison may not be very meaningful, because much of the changes is going through. PC, obviously, we're changing the display method. And so, there is a lot of other variables that's moving around to affect. But generally, of course, we continue to believe that mobile has tremendous monetization power and would continue to improve its capability and narrow, and eventually we think it's the process of the mobile monetization capability. For SG&A expenses related to O2O, we mentioned earlier that we have continued improvement, or thinking, or revelation in the O2O area. We want to connect people with services, and as we are executing on this business, we're very much focused on the user value proposition, and merchant value proposition. And, of course, at the same time deploy our SG&A investments in a very disciplined manner. Our three-year plan for Nuomi for O2O has not changed. But I think, we're – as I mentioned earlier, we're approaching the business in a very disciplined approach, and a focus on ROI added the value generation to our users and merchants.
Operator: The next question comes from the line of Erica Werkun from UBS. Please go ahead.
Ming Xu - UBS Securities (Asia) Ltd.: Morning, Robin and Jennifer. Thank you for taking my question. This is Ming Xu asking on behalf of Erica. So, I have two follow-up questions on news feed. The first question is, could you clarify, in terms of DAU, is it RMB 17 million or RMB 70 million? And also could you comment on the time spend trend? Secondly is, in terms of technology, how would you differentiate from the competitors? So, in particular I think, one thing is the AI technology that Baidu has. The other thing is, we know that you invest in Taboola, the recommendation engine in U.S. So, how these unique technology advantages help you to differentiate from your competitors in terms of recommendation? Thanks.
Robin Yanhong Li - Baidu, Inc.: Ming, in terms of DAU, that's seven-zero, 70 million. In terms of time spend, I mentioned, it has tripled since our launch back in May and still growing steadily, so user stickiness is very good. You are right that the news feed product is essentially an AI product. We tailor the content for anyone on a very personalized basis, and we leverage our AI technology in the form of machine learning and many other different AI technology to make sure that we well feed the user with the most relevant, most interesting high-quality content. And also for the monetization, it goes without saying that we are leveraging on a very large advertiser base, and we also have the industry-leading targeting technology based on the user profile, location, their query history, things like that. So, we are able to provide a very diversified and creative sources for the users and for the advertisers. So, we think we are best-positioned to win this game.
Operator: The next question comes from the line of Alan Hellawell from Deutsche Bank. Please go ahead.
Alan Hellawell - Deutsche Bank AG (Hong Kong): Yeah. Great. A basic question, just what is the breakdown in GMV, between Food Delivery and Group buying? And then secondly, over the past many years whenever you've introduced a successful innovation, whether it's your move into travel or mobile app stores, or other refinements, we've been able to kind of quantify that breakthrough. I'm just wondering, now there we're several quarters into leadership in AI, whether you can give us any sense, whether it's a CPC or CPM basis? The difference of purchasing (57:49) kind of benefits from AI versus one that would have been produced from your previous algorithm. Could you try to capture that improvement?
Jennifer Xinzhe Li - Baidu, Inc.: Alan. For your question on the GMV breakdown, the larger GMV is Nuomi, continues to be the Nuomi business. The Takeout Food Delivery service, the frequency level is much higher, and is really growing very nicely. It's narrowing the gap, but the biggest is Nuomi.
Robin Yanhong Li - Baidu, Inc.: And Alan, how AI helped our CPC and CPM, we started to investing AI technology about five years ago. And starting from about three years ago, we implemented AI-related technology to help monetization. It has contributed to CPC and CPM, and click through rate for quite some time, I would say, at least for the past about three years, we've seen very significant contribution from our AI technology monetization, and I believe there's still lots of room for improvement on that direction.
Operator: The next question comes from the line of Thomas Chong from BOCI. Please, go ahead.
Thomas Chong - BOC International: Hi, thanks for taking my questions. I have a quick question about the top five advertising categories. If my understanding is correct, should I expect the contribution from healthcare to increase from third quarter to fourth quarter, now some other sectors should be on the declining trend in the fourth quarter? Thanks.
Jennifer Xinzhe Li - Baidu, Inc.: Yeah. The top sectors, just for your information, are the medical services, the local services, education, retail and real estate and home renovations. But I think as you can see, you can go through these large changes, we continue to have the relatively steady, the top sectors, that remains largely similar to prior quarters. Yes, I think for what you just said, I think I mentioned the much of the review work for these verticals, like medical, was finished and they should gradually resume some of the business that these advertisers can do with that. Other sectors will be going through the same exercise that we have been doing.
Operator: The next question comes from the line of Eric Wen from Blue Lotus. Please, go ahead.
Tian Li Wen - Blue Lotus Capital Advisors Ltd.: All right. Good morning. Thanks for taking my questions. I have two questions. First, a short follow-up on news feed. Is it mostly branded ad, or do we also see effectiveness with local ad in the media format? And my second question is more open ended. The company is shifting to more fundamental technologies, like autonomous driving and AI. Given similar companies like iFLYTEK has much lower revenues than us, what's our thought on our business model going forward taking into account our past successes and lessons learned with search? Thanks.
Robin Yanhong Li - Baidu, Inc.: Okay. On the news feed, right now I think a super-majority of the advertisements are performance-based ads. We share the same advertiser base with Phoenix Nest or Search App. But we do see a number of advertisers who are more brand oriented, especially for those advertisers who aim to target a specific geographic location, for example, in real estate, they would like to target a specific geographic location. Sometimes you can see that they are also performance driven, but sometimes they are looking for branding effectiveness too. So, I think overall, news feed is still pretty much performance-based advertising, but will increasingly add some flavor of brand ad. On AI technology, I think, it has helped almost all of our existing products, helped to monetization, helped to deliver better user experience in search, in many other news feed, and many other content-based products. But also, I think for our newer initiatives, be it Internet finance, or autonomous driving, we've seen significant contribution from AI-related technology, I think that, well-positioned us uniquely in those very large markets. But the newer initiatives generally take longer to see material impact on revenue and earnings. So, we'll need to wait for maybe a couple of more years.
Operator: We are now approaching the end of the conference call. I'll now turn the call over to Baidu's Chief Executive Officer, Robin Li, for his closing remarks.
Robin Yanhong Li - Baidu, Inc.: Well, again thank you for joining us today. Please do not hesitate to contact us, if you have any further questions.
Operator: Thank you. That does conclude the conference for today. Thank you for your attendance. You may all disconnect.